Operator: Ladies and gentlemen, thank you for standing by. Good afternoon, and welcome to the BioCardia Second Quarter Financial Results and Business Update Conference call. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately 1 hour after the end of the call. I would now like to turn the call over to Miranda Peto of BioCardia Investor Relations. Please go ahead, Miranda.
Miranda Peto Benvenuti: Thank you very much. Good afternoon, and thank you all for participating in today's conference call. Joining me from BioCardia's leadership team are Peter Altman, President and Chief Executive Officer; and David McClung, the company's Chief Financial Officer. During this call, management will be making forward-looking statements including statements that address BioCardia's expectations for future performance and operational results, references to management's intentions, beliefs, projections, outlook, analyses and current expectations. These factors include, among others, the inherent uncertainties associated with developing new products technologies and obtaining regulatory approvals. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the Risk Factors and cautionary statements described in BioCardia's report on Form 10-K filed with the SEC on March 26, 2025, and in subsequently filed reports on Form 10-Q. The content of this call contains time-sensitive information that is accurate only as of today, August 11, 2025. Except as required by law, the company disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to Dr. Peter Altman, BioCardia's President and CEO. Peter, please go ahead.
Peter A. Altman: Thank you, Miranda, and good afternoon to everyone on the call. In our second quarter of 2025, we have been completing the CardiAMP Heart Failure trial, whose primary outcomes were presented as a late-breaking clinical trial at the American College of Cardiology's annual scientific sessions on March 30, 2025. For study patients all on stable guideline-directed medical therapy, the CardiAMP Heart Failure treatment group had a lower incidence of both all-cause death and nonfatal MACE than the control group during the entire 24-month period of the CardiAMP Heart Failure study with a p-value of 0.17. And the composite endpoint of all- cause death nonfatal MACE and quality of life was statistically significant in the subgroup of patients with elevated NT-proBNP with a p-value of 0.02. As we have reviewed the data, there have been additional compelling observations that we anticipate will be detailed in the upcoming peer-reviewed manuscript. For our long-standing investors, this data is to your credit as it provides objective evidence that together, we have helped patients in a rigorous double-blind placebo procedure-controlled trial. The CardiAMP Heart Failure trial clinical package detailing this data has been provided to Japan's Pharmaceutical and Medical Device Agency, or PMDA, and we hope to soon align on pathways to make this therapy available for physicians and their patients. Japan has a strong interest in heart failure therapy and Japan's PMDA has approved other cell therapies, including for heart failure. Our own cell processing platform is also approved in Japan by our partner, Zimmer Biomet for orthopedic applications, which makes our Helix catheter system, the only truly new product to be introduced. We expect two other cardiac cell therapies to be considered for approval by PMDA in the coming year in addition to our CardiAMP cell therapy. We view the sponsors of these other cell therapies as potential partners for our Helix biotherapeutic delivery system, which is supported by our experience and its use in clinical trials, which have enrolled more than 400 patients. It is expected that the in-person meeting on the clinical consultation with PMDA requested in July of 2025, will take place mid-Q4 2025. If the parties are aligned, this could enable BioCardia to submit for approval of the Cardium system for market entry in Japan. In parallel, we have ongoing efforts towards requesting a meeting with the FDA on the approvability of the FDA-designated breakthrough CardiAMP system based on this clinical data also in the fourth quarter of 2025. We are continuing to gather evidence to support the therapy as well, and the CardiAMP Heart Failure II trial is actively enrolling patients at four clinical sites with the fifth to be activated in a few weeks' time. Our second program, the CardiAMP cell therapy and chronic myocardial ischemia or BCDA-02, the roll-in cohort final data for scientific presentation and publication is ahead. The data to date has been excellent, and we have no more details to share until that data is publicly available. In Q2 2025, we had a successful data safety monitoring board review of the safety outcomes in the low-dose cohort in our CardiALLO allogeneic mesenchymal stem cell therapy in ischemic heart failure or BCDA-03, our third program. management's assessment is that we have good potential of receiving non-dilutive funding for this program in Q1 2026. On the Helix biotherapeutic delivery partnering front, we are actively preparing for submission for approval of this product via de novo 510(k) pathway based on the strength of our clinical data. Our Helix has potential to be the first approved transendocardial biotherapeutic delivery system in the United States. We remain interested in partnering this technology and providing support to the many other cell and gene therapy firms working to enhance the therapeutic options for patients with cardiovascular disease. We continue to be focused on partnerships where our contributions to the successive partners will reward our shareholders. One element of the Helix delivery system is our proprietary FDA-approved Morph DNA steerable introducer platform. We are continuing to detail its advantages to physicians and partners who may benefit from these products. Our goal is to partner this product and its underlying technology for the enormous cardiac electrophysiology market for the mapping and ablation of both atrial and ventricular take arrhythmias. The DNA technology design prevents whip in this catheter, which we developed and value for all of our Helix procedures, and is expected to have even greater value for ventricular ablation procedures should they require advancing the steerable introducer sheath in the left ventricle of the heart. On the business development front, we believe partnering can create meaningful value for shareholders with respect to each of our 4 platforms: CardiAMP, CardiALLO, Helix and Morph DNA. For CardiAMP cell therapy business development, we expect the clarity on anticipated approvals ahead will enhance interest by distribution partners and strategics. For CardiALLO cell therapy business development, our allogeneic cell therapy, we have the ability to manufacture our clinical grade cells at a cost profile that is likely less than that of all our peers. We are also open to partnerships broadly in the many indications we are not currently pursuing. For our Helix biotherapeutic delivery platform, potential biotherapeutic delivery partners who wish to have access to our delivery experience, products and support capabilities remain active in discussions. Current partners realize that minimally invasive delivery not only enhances future commercialization, but is also seen as a critical means for clinical development, enabling much faster enrollment thus significantly reducing their operational costs by shortening time lines for their therapeutic development. Lastly, partner therapeutics are expected to benefit enormously from our threefold efficiency of delivery. We believe this advantage underlies our positive cardiac heart failure data and is due to the stability of the Helix in the beating heart and the self-sealing helical pathway into the tissue. On the Morph front, partnering discussions are underway for the greater than $10 billion per year electrophysiology market described in my earlier comments. We expect to soon announce more details on the Fusion Imaging partnership we have entered into that has potential to be valuable for all of our product offerings and partnering efforts. Looking forward, we have updated our milestones in our press release today that are reflected in our updated corporate presentation available on our website. For BCDA-01, our CardiAMP autologous cell therapy and heart failure. In the fourth quarter, we will aim to have the peer-reviewed manuscript accepted meetings with Japan PMDA and FDA on approvability based on current data as we also enroll in CardiAMP Heart Failure II. For BCDA-02, CardiAMP autologous cell therapy in chronic myocardial ischemia. In the fourth quarter, we intend to deliver final top line data from the rolling cohort and seek peer reviewed publication of the results. For BCDA-03, CardiALLO allogeneic mesenchymal stem cell therapy in heart failure, we are projecting non-dilutive funding coming together in the first quarter of 2026. For our Helix biotherapeutic delivery system, we anticipate FDA submission for approval in the third quarter of this year. This is the current quarter. We also anticipate a financing in September that we are working to have be a success for current shareholders. Insider investors have supported recent financings in 2025 as they recognize the great potential we have to be impactful for patients with cardiovascular disease and while also doing well. I will now pass the call to David McClung, our CFO, who will review our second quarter 2025 financial results. David?
David McClung: Thank you, Peter, and good afternoon, everyone. I'd like to take a moment to review the highlights of our financial results for the quarter and the 6 months ended June 30, 2025. Research and development expenses increased to approximately $1.4 million for the 3 months ended June 2025 from approximately $0.8 million in the 3 months ended June 2024. We and increased to approximately $2.9 million in the 6 months ended June 2025 from the 6 months ended June 2024. The increases are driven by closeout activities including data analysis for the CardiAMP Heart Failure trial and enrollment in the subsequent CardiAMP Heart Failure II trial, coupled with regulatory activities in Japan. We anticipate R&D expenses will increase modestly in 2025 year-over-year as we continue advancing our therapeutic candidates in the United States and in Japan. Selling, general and administrative expenses decreased to approximately $0.7 million in the 3 months ended June 2025 compared to approximately $0.9 million for the 3 months ended June 2024, primarily due to lower professional fees and share-based compensation expense. Selling, general and administrative expenses remained consistent at approximately $1.9 million during the 6-month period ended June 2025 as compared to $1.9 million, the same amount in the 6 months ended June 2024. We expect 2025 SG&A expenses to track close to the 2024 levels year-over-year. Our net loss was approximately $2.0 million for the 3 months ended June 2025 compared to approximately $1.6 million for the 3 months ended June 2024 and was approximately $4.8 million for the 6 months ended June 2025 compared to approximately $3.9 million for the 6 months ended June 2024. With the increases in research and development expenses, net cash used in operations similarly increased. Net cash used in operations during the 3 months ended June 2025 increased $300,000 to approximately $1.6 million compared to approximately $1.3 million for the 3 months ended June 2024. Net cash used in operations for the 6 months period ended June 2025 was approximately $3.3 million as compared to $2.8 million for the 6 months ended June 2024. The company ended the quarter with cash and cash equivalents totaling $980,000. In the third quarter, we sold $769,000 in BioCardia common stock under our ATM facility at an average price of $2.59 per share. bringing our current cash balance to approximately $1.1 million. This provides us with runway into October exclusive of any additional capital from future business development or financings. We will work hard to continue our track record of efficient use of resources and optimizing the cost of capital. This concludes our prepared comments, and we're now happy to take questions from attendees.
Operator: [Operator Instructions] Our first question today comes from Joe Pantginis with H.C. Wainright.
Lander Egaña-Gorroño: This is Lander on for Joe. So maybe, Peter, could you elaborate a little bit more on the expectations regarding PMDA reviewing CardiAMP for heart failure as a medical device. You talked a little bit about this on your last week's press release, point-of-care therapies versus laboratory manufactured. What are the key differences in terms of regulatory reviews, time lines and potential approval?
Peter A. Altman: Thank you for the question, Lander. So fundamentally, the approval process is not dissimilar. I think that it's viewed as actually a lower hurdle for a medical device approval, particularly as the CardiAMP cell therapy system has nothing that is left behind in the patient, such as a stent or a hip or a heart valve, for example. The nuances here is the standard consultation process with PMDA. And the current hurdle before us is clinical consultation on the data and positioning of the therapy in the continuum of heart failure care. And so what we have done is we have detailed for PMDA, where this lies in the continuum of care. Currently, in Japan, the care is substantially equivalent to the care in the United States with the same four pillars of medication. I think key differences in Japan are the utilization of [ left ventricular ] assist devices and the low use of heart transplantation for heart failure in Japan. And that last is something I'd like to comment on a little in Japan because of sort of the culture of the wholeness of the individual, there's not a great adoption of transplanted organs because it's not the -- it's from another individual. And I share that because it's important relative to CardiAMP because CardiAMP is an autologous cell therapy. It is the patient's own cells delivered in a straightforward procedure with processing at point of care. And the value proposition here is it aligns completely with the cultural preferences of the Japanese. And then from a logistics and commercialization perspective, it fits neatly into the existing medical device distribution channels in Japan. So we have already had conversations around distribution partnerships. Should we be fortunate and have PMDA align on the acceptability of CardiAMP. I note today in Japan, because they don't have heart transplantation as a primary therapy because of that cultural sense of the wholeness of the individual, there's a huge need in heart failure. Patients are dying at the same rates they are in the United States, which is approximately 10% per year, 50% at 5 years. And so the way we see Cardium as a onetime therapy of delivering very high concentrations of a patient's own cells in and around damaged regions of the heart based on the results that we presented, demonstrating reduced mortality, reduced all-cause death reduced major adverse cardiac events and improved quality of life. We do think that there's a very compelling argument to support the adoption of CardiAMP cell therapy. I note that under the regenerative medicine pathway, other companies such as Helios for pulmonary acute respiratory distress and by Terumo for their heart sheet product historically, they've been able to achieve conditional approvals based on a small number of patients showing preliminary signs of safety and efficacy and following up those early studies with post-marketing studies in their conditional period. So similar to those approaches, Japan PMDA has the ability to request post-marketing study of Cardium heart failure therapy and provide and secure additional data on both safety and efficacy in the Japanese population. So that's sort of a high-level snapshot. I could probably talk for hours about the nuances between regulatory approval in Japan and the United States. I can tell you that the folks we've interacted with are extremely professional, highly detail oriented and we're pretty excited about the upcoming clinical consultation.
Lander Egaña-Gorroño: Got it. That's very useful. And for the CardiAMP CMI program, the rolling core data that are anticipated in fourth quarter, these are related to the primary endpoint results, right, at 6 months?
Peter A. Altman: Correct.
Lander Egaña-Gorroño: Okay. Perfect.
Peter A. Altman: No worries. And this data, what this potential, the timing here is just making sure we've got the data monitored and we're looking at the definitive final rolling cohort data for that population.
Operator: Our next question today comes from James Molloy at Alliance Global Partners.
James Francis Molloy: On the fourth quarter, Japanese and U.S. regulatory meetings, if you get the sort of the best response, which I presume would be yes, go ahead and file. What would the timing look like on that? And then what sort of -- how would you game out other potential outcomes to come out of those two separate meetings?
Peter A. Altman: Well, Jim, thank you for the question, and welcome to the call. The first part of the question, what if things go well, let's just focus on Japan PMDA. So if they accept our of positioning for the CardiAMP cell therapy, and they agree that this makes sense. They -- the meeting minutes could potentially end with -- address the following questions in your application for approval. Then there's a whole series of steps that are required for that approval process, including detailed audits of our operations, our clinical data and so on. And it's a similar pathway for the FDA with the BIMO audits and what have you. So our expectation is for either case, that process would take as much as a year to achieve. And so the nice thing though is once that pathway has been opened, your confidence in success is far greater than it is at this juncture. The nuance of this in Japan is that where we will be working on both reimbursement and on distribution partner as soon as this -- if this meeting comes out to be positive on the other side as we hope it is. And with FDA, there is a slightly different time line we're pursuing in that we are submitting our Helix system for FDA approval based on the totality of data in advance to submitting and engaging with them on the Cardium approval because the Helix is part and parcel of the system. So all of the work that goes into the regulatory files for all three of these submissions is substantially the same information. So that will be going in first to FDA, and then we will be engaging them on CardiAMP Heart Failure. They also are receiving annual reports and the final data on CardiAMP Heart Failure as well. So if things go well, we'll be on a pathway towards approval in enormous market, we would expect some post-marketing requirements for both the FDA and PMDA. We recognize that we did not hit the primary endpoint, but the FDA has approved previous heart failure therapies based on subgroup analysis and required post-marketing studies. In some cases, they've looked to a confirmatory trial, and we already have a confirmatory trial actively enrolling at 4 and soon to be 5 centers. So we're advancing the therapy. If things don't go our way as you describe it and let's say it's a negative, we're continuing full board here in the United States. I think that if Japan PMDA is not supportive because of resources and what have you, we would be completely focused on the United States going forward. But that's where we've done most of our trial work to date. But I'm actually very optimistic with respect to Japan ahead. And I think the FDA will be open to this. I don't think there's a better time in the administration than today with respect to the interest in -- this is an autologous cell therapy, right? This is a minimally delivered autologous cell therapy. We leave nothing behind, but the patient's own cells in high concentration, and it's supported by very rigorous data that's quite compelling in heart failure and patients on guideline-directed medical therapy using all of the latest drugs that are available, we were able to demonstrate reduction in MACE over the entire course of the trial and a p-value point of 0.17 we're also able to demonstrate that the composite endpoint in the patients with elevated NT-proBNP was statistically significant. So if we do get an approval in Japan or in the United States, BioCardia would not seek it across all the patients. We would be seeking it for those patients who are on guideline-directed medical therapy and still have evidence of active heart failure because of their elevated biomarkers for heart failure or NT-proBNP.
James Francis Molloy: Maybe a final question then. The partnership environment, now you touched on it briefly in your prepared remarks. It would be fair to say it's things -- partnerships are more or less on hold until clarity on the FDA and the Japanese PMDA?
Peter A. Altman: So I would say a resounding no to partnerships being on hold. The -- for CardiAMP, I would say, yes, that's a key element and milestone. But we have very active discussions today around our technology platforms. And primarily, we have active dialogue and relationship with Helix, active dialogue relationship with Morph. And even CardiALLO has had interest for folks going after other indications because of our ability to manufacture cells with a small footprint. So I think CardiAMP, the main event because of the value proposition there. We have had discussions and have active conversations with partners for distribution in Japan. And they're plugged in and they're aware and so this next conversation is the big deal. I think that the nuance of reimbursement in Japan is also going to be important ahead. And so we're -- we think that there's great opportunities for us to be successful. We think that the reimbursement we already have in the United States as $17,500 per procedure is compelling for that partnering activity but we also think it's compelling for the Ministry of Health, Labor and Welfare in Japan because the other CardiAMP therapies they've historically approved, they provided a reimbursement that was almost 10x that amount. So our sense is we come to them with a more reasonably priced therapy that also interweaves the autologous aspects of it. And the folks we're talking to, Jim, there on partnering for CardiAMP are fundamentally medical device distributors. So the -- there are a number of cardiovascular products. There's also U.S. interventional cardiology groups in Japan, who sell direct. And so those would be other folks that we would be actively talking to.
Operator: Our next question today comes from Kumar Raja with Brookline Capital Markets.
Kumaraguru Raja: So Peter, with regard to the meeting with the FDA, is this going to be a type B meeting or a Type C meeting? And with regard to the HF II trials, where do you stand with regard to the screening? Maybe you can highlight how the screening is going and when we can expect the patients to come on board and be treated.
Peter A. Altman: So right now -- so Kumar, thank you for the question. Great question, and delighted to have you on the call. With respect to the FDA, we haven't decided what the type of meeting is. So remember, this -- CardiAMP has breakthrough designation. And so we're contemplating the pros and cons of having a sprint discussion with them on this issue to help get early feedback versus doing another pathway. And we're teeing this up in our annual report for the FDA. In parallel, we're working on the submission of a de novo 510(k) for the Helix system. So the idea here is that the only thing I think the agency would be concerned with respect to on the risk side is our Helix system, which has extensive data that's highly supportive of it. In fact, I ran into the [ Brand Zuckerberg ], who is the Head of the devices at FDA, and they actually at CBER have blessed folks to do clinical studies with Helix without even talking to BioCardia. I mean they're actually supposed to get a letter of reference. They're very comfortable with Helix is our sense. So the idea is to secure the discussion process around the de novo 510(k). And once that's in, then engage on CardiAMP, and be able to say with respect to CardiAMP, you've already approved the cell processing platform for use in processing diagnostics. The Helix system is under a de novo 510(k) process. We're interested in your approving the combination for this autologous cell therapy based on the totality of clinical data we have in these three trials for these heart failure patients, which currently have a rate of mortality of 50% in every 5 years. And they're already on guideline-directed medical therapy. There are no other options for them today. Under what pathway can you enable us potentially with guardrails in the form of post-marketing studies enable patients to have access to this therapy and achieve the clinical results we've demonstrated in our TABMMI trial, our TACHFT trial, and now also in our CardiAMP heart failure trial. So that's sort of the pathway there ahead. And then your second question, Kumar. And did that answer the first question? Are you comfortable with that?
Kumaraguru Raja: Yes, it does.
Peter A. Altman: All right. Then the second question on where we're at in CardiAMP Heart Failure II. CardiAMP Heart Failure II, so it's the same team that is closing out CardiAMP Heart Failure I, preparing the clinical study reports and involved in the regulatory activities that is also supporting CardiAMP Heart Failure II. Nicely CardiAMP Heart Failure II is a modification of what we had done in CardiAMP Heart Failure trial. And it also -- the folks who participated are aware of the data and pretty jazzed about the data that we ultimately have from CardiAMP Heart Failure. So right now, we've got 4 centers that are actively enrolling. We have a fifth center that's about to begin. We've treated a few patients so far. One of the things that happens in this trial is that we have a longer lead-in time to treatment to look at the Hawthorne effect of these patients. And so for those who aren't real familiar with clinical study design, the Hawthorne effect is the fact that when you start to observe a subject their behavior changes. And so we're observing the patients for a month before they go through their baseline measures. So they know they're in the trial. We work on them to get them compliant to their medications. We get them as stable as we can possibly get them for a whole month and then they go through the screening for the baseline measures and enter into the trial. And we've treated a few patients. I think if you look on LinkedIn, there's a couple of pictures of first cases with different physicians. And this is much easier to do because it's something that we've already been through. So fewer bumps in the road this time. The primary endpoint is the endpoint. We have a p-value of 0.02 on in the patients with elevated NT-proBNP and all patients in this trial will have elevated NT-proBNP greater than 500 picograms per ml. So yes, it's -- if anything, it's getting easier. And we don't have the burdens, Kumar, of COVID. We don't have the burdens of other really competing trials. To our knowledge, this is the only large cell therapy trial in the United States at this point in time and we'll be marshalling it forward. But it's a secondary priority to getting these regulatory submissions in place and just because of the cost of resources and our team, bear with us as we close out the regulatory submissions and there is potential if the FDA decides to get supportive of CardiAMP as a therapy that we would modify the trial and could conceivably make it an open-label registry in which case, maybe with a historical control, maybe we match it to the controls we have from our own study. But either way, there's lots of things by having that active trial, it feeds back into what we might do ahead. And remember, CardiAMP HF II has the same Medicare reimbursement as our other two trials. So if it was converted to an open-label registry not only would it go very quickly, but there wouldn't be any significant sudden cost to BioCardia because we have the reimbursement in place.
Kumaraguru Raja: Okay. Just one clarity with regard to the time lines. So by end of Q4, you will have clarity both from the PMDA as well as the FDA, that's the expectation?
Peter A. Altman: We will have clarity from PMDA, FDA is behind that because we're going to be submitting the de novo 510(k) for Helix first. So it's going to be close on the Helix, but soon thereafter.
Operator: And our next question comes from Chris W, an Investor.
Unidentified Analyst: Peter, can you hear me?
Peter A. Altman: I can, Chris.
Unidentified Analyst: A couple of questions. For BCDA-02, you are preparing to release or present data. What are your expectations following the data readout for that trial?
Peter A. Altman: So right now, that program we're going to release that data. We are working on active conversations with respect to partnering. And my sense is, Chris, a lot of it depends on what happens with PMDA and FDA if PMDA gives us the signal that, yes, we're going to be allowed to apply for approval, our reality changes. We will easily have relatively non-dilutive capital to accelerate the BCDA-02 program. There are competitive programs to BCDA-02, but if you look at our corporate presentation, which was just updated today and available on our website, it compares the outcomes in BCDA-02. This is the CardiAMP cell therapy for patients in refractory angina as a function of chronic myocardial ischemia, we are seeing the same or better results than what was demonstrated in the Baxter Healthcare CD34 program. And I think that's a really important historical data point to take into mind because the Baxter program, it was stopped primarily because of the cost of the autologous therapy. So we have published previously at the European Society of Cardiology heart failure, the CD34 dosages we have in CardiAMP cell therapy in the CardiAMP heart failure trial. And all of our patients on average are greater than the CD34 cell dosage achieved in the Baxter Healthcare trial. This is important because in Baxter, we could estimate that their cost of goods for their therapy was on the order of as much as $50,000 to $60,000. Whereas in our hands, we -- by bringing it to point of care and processing the cells in the fashion, we do and improving the efficiency of delivery and creating the screening approach where we only treat patients who have the appropriate cells on board. We've dialed some things in so that those -- the therapy can actually be a very low-cost therapy. So instead of doing what Baxter did, which was to take the cells and remotely process them and bring them back to the center, which has enormous cost. And that's one of the big problems with autologous cell therapy. We have essentially taken the patient, we screen the patients and say, we're selecting the patients. Do you have the appropriate cells on board with a very inexpensive diagnostic. And then we can go in and process the cells at point of care with a relatively inexpensive approach so that our cost of goods can be literally less than 2% of what the cost of goods for the Baxter Healthcare program is. So yes, we're very excited about BCDA-02. It's just right now, its resources and prioritization. And so top priority is still BCDA-01. The top priorities for BCDA-01 are the regulatory submission discussions, where we have a number of board members who are very enthusiastic and then also the confirmatory trial. Those are our top priorities. But if we have more resources or if partnering steps up for that program, BCDA-02 is very well positioned to expand. And it's a great program.
Unidentified Analyst: That's great. One more, if I can.
Peter A. Altman: Yes. Please go ahead, Chris.
Unidentified Analyst: So it sounds like there's some new data observations that were picked up, and you've submitted those from your prepared remarks. You've submitted those to the PMDA, will BioCardia be releasing or presenting that data to the public? Or is that just for regulatory submissions? And the second one, anything additional you might be able to share about a beneficial September raising event, how that would be beneficial to current shareholders if you're able to [ explain ] in that regard.
Peter A. Altman: Yes. No. Absolutely. So first question -- no, great questions. These are great questions. I appreciate it. So yes, so when we had the late-breaking clinical trial presentation at the American College of Cardiology which, by the way, was a great honor that they gave us a late-breaking clinical trial, and we're very thankful to the leadership at the American College of Cardiology for that, we were scrambling to pull all the data together in time for that presentation. And we got it done. The data is all monitored. It's good data. You can hang your hat on it. We're very proud that we got that done. But as I'm sure you know, there's an enormous amount of data and observations here. And so there's -- I can share from my perspective, the data only gets better when you understand it more. That said, we need to make that the peer-reviewed perspective. And so we are working with our distinguished investigators to pull together a manuscript based on this awareness of some of these nuances of the data, and have this reviewed and published. So it will be accessible for all. I can't say that everything we've seen will be in there just because inherently, there are some things that just don't make it into the journal that are more appropriate in the regulatory dynamic. But from my perspective, we hope to have as much in that peer-reviewed manuscript and potentially even a supplement as we can to share what we're seeing with respect to this data. So that's sort of a response on that comment. As regards to your question on the financing, so right now, I mean, look at how we finance historically. So yes, we have had times where we've done a standard banking financing, and we've had some challenges with it. But the last two financings we've done have been very little dilution. They've been assigned to long holders for the most part. And since then, we've had some phenomenal things come together. Now the markets are not reflecting where we're at. I don't know there's anywhere else in the world, you can buy stock in a company that has a -- what is pivotal trial data for a heart failure therapy, an enormous opportunity before regulators for the price of our stock is going for today, and that embarrasses me. But at the same time, we have a lot of good relationships. We have a lot of active partnering discussions. And so we're doing our best to pull together a financing that is a positive for all shareholders. We'll take this very seriously, and we're trying to be as wise as we can about it. If you look at how we've utilized the ATM recently, you can see that we've -- the shares we've sold are well above the average share price that we've had of late. And those are straight common shares with no bells and whistles and discounts. They're at that peak of the market. So I've got to tell you, Chris, I can't wait until we get to profitability because I and the management team and the Board, nobody likes dilution, but we're trying to be as thoughtful as we can and bring together a deal to fund us. We keep our burn rate low, so we don't need much capital. If you look at the burn rate that David has detailed, we are very -- we're trying to be what I think of as wisely frugal. And so with that, we don't waste money on things that don't make enormous sense. We've secured reimbursement for our trials, which winds up reducing our R&D expense. So right now, our annual burn rate is on the order of $6 million a company that's pushing through 3 trials and has all these active partnering discussions. So I think it's going to be interesting. I can't tell you any more details around it than we are going to the folks that we know. We are detailing where we're at. And there's a lot of folks who are willing to bet on a company that not only has stable products under its belt with its Morph and it's Helix, but is going after approvals for therapies in the near term. And it's not like we're saying we're going to apply for approval for CardiAMP and prepare the dossiers, those dossiers are already in substantially. So I think it's going to be a really interesting next 6 months for everybody who's here and those who are shareholders in BioCardia, you're helping us to do this. You're helping us to advance a new therapy that has the potential to impact millions. And I think that the data is excellent. It's not all we want it to be but when you're treating patients on guideline-directed medical care, they are already being optimally managed and you're able to show a benefit in addition to it, not instead of it, that's a great thing and it's something that everybody involved should be proud of.
Operator: And Dr. Altman, that closes the question-and-answer session. So I'd like to turn the call back over to you, sir, for any closing remarks.
Peter A. Altman: I appreciate it, Rocco. Yes, I guess I would just reiterate what I detailed for Chris, that supporting BioCardia as an investor, you are also responsible for the benefits delivered to patients in the CardiAMP Heart Failure trial. As investors in BioCardia, you have done good for others. Our focus today is to get around to delivering the increased value for our investors so that they can do well as we pursue the CardiAMP system and Helix approvals. So on behalf of our hard-working team here at BioCardia, I thank you for your continued support. Have a great afternoon.
Operator: Thank you. That concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.